Operator: Good morning. My name is Dennis and I will be your conference operator today. At this time, I would like to welcome everyone to the Nokia Third Quarter 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Mr. Matt Shimao, Head of Investor Relations. Sir, you may begin.
Matt Shimao – Head, Investor Relations: Ladies and gentlemen, welcome to Nokia’s third quarter 2011 conference call. I am Matt Shimao, Head of Nokia Investor Relations; Stephen Elop, President and CEO of Nokia; and Timo Ihamuotila, CFO of Nokia are here in Espoo with me today. During this call, we will be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external; such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 12 through 39 of our 2010 20-F and in our quarterly results press release issued today. Please note that our quarterly results press release, the complete interim report with tables, and the presentation on our website include non-IFRS results information in addition to the reported results information. Our complete interim report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and the reconciliation between the non-IFRS and the reported information. With that, Stephen, over to you?
Stephen Elop – President and Chief Executive Officer: Welcome, ladies and gentleman, and thank you for joining us on today’s earnings call. Overall, I am pleased with Nokia’s results this quarter. That being said, it is important to emphasize that we are on a journey during which we are systematically transforming our company for long-term success and improved financial performance. With each step of that journey, you will see us methodically implement our strategy pursuing steady improvement through a period that has known transition risks while also dealing with the various unexpected ups and downs that typify the dynamic nature of our industry. Let me remind you about what the nature of this journey is. On February 11, we announced a new strategy for Nokia with the fundamental intent of creating great mobile products. This strategy comprises, first, the transition of our primary smartphone platform to Windows Phone; second, increased investment in our lower price mobile phone products as we seek to connect the next billion people to the Internet; and third, investments and areas of potential future disruption. Additionally across these three pillars, we will use our iconic design capabilities, location and commerce assets, and various unpolished gems as sources of competitive differentiation. And finally, we will change the way we work to better adapt to the disruptive forces around us. As a result of this strategy, we intend to grow longer term Devices & Services net sales faster than the market while delivering our Devices & Services non-IFRS operating margin of 10% or more. During this very busy quarter, I have focused my attention on operative improvements meeting with teams around the company and around the world to gauge the progress we are making to identify areas, where we need additional concentration and to assess our early results. Most notably this quarter, I visited China to review the business status of the region. To meet with the operators and to engage with the number of our go-to-market partners, it is evident that the team in China has made significant progress in correcting the situation that led to the problems in Q2. Channel inventories are at normal levels. Channel structure has been streamlined and we believe our channel partners are seeing increased profits from the resulting normalized pricing and from the sales support provided by the Nokia team. In parallel, the operators are looking forward to bringing their consumers our new Smart Devices and Mobile Phones. Yes, there is still a lot of work to do in China, but there are very clear signs of progress. I also have the opportunity to visit India, where we continue to see a positive trend after the launch of our dual SIM devices earlier this year. In the dual SIM price bands in which we launched these products, we have gone from essentially a standing start to 18 million devices in Q3. Additionally, our internal estimates indicate continued momentum. In addition to capturing share with our dual SIM devices, we also are seeing a halo effect, whereby the success of our dual SIM devices is driving increased traffic around and correspondingly higher sales for our other devices in India. For example, shipments of the Nokia 1616, a €15 device that we first shipped in Q2 of last year grew 24% sequentially and had its highest volume performance since Q4 of last year. This may suggest that the power of the Nokia brand in our traditional strongholds combined with great new products and execution by our team can have an immediate impact on our business results. The results in India may also begin to tell another story somewhat contrary to conventional wisdom. Again through the combination of a strong brand, great products with Nokia innovation and execution, it is clear that we are able to take share away from smaller Chinese and local manufacturers. It is my belief that we need to attack these low end markets with figure and innovation and that is what we are doing in India and will continue to do in relevant markets around the world. I also visited a number of key Nokia facilities around the world, including Ulm, Germany, which is one of our principal sites for mobile phones research and development. As just one example of the progress we are making, the team in Ulm has clearly moved from absorbing and understanding our new strategy to aggressively pursuing its implementation. In doing so, there is a lot of excitement around the product work this team is delivering and it is encouraging to see R&D teams moving past their period of transition into heads down execution. We are pursing a strategy that concentrates our Mobile Phones R&D in three locations and our Smart Devices R&D in four locations. As a result, we are seeing better execution, because the co-location of people fosters easier conversations and faster problem resolution leading to shorter product cycles. During the Q1 earning call, I mentioned that Q2 would be a point of product family transitioned for mobile phones with the introduction of the dual SIM products and we are now beginning to see the results. Of course, we are at a similar moment in our Smart Devices. First, Q3 was a quarter of significant progress in and around Symbian. This included the launch of Symbian Belle, the latest in series of operating system enhancements, which includes significant user experience improvements and of C capabilities, a broader range of Microsoft Office productivity applications and modernized navigation features. We have announced a variety of new products that use Symbian Belle. This includes our loudest smartphone, which is oriented towards music and entertainment bus. It also includes our most colorful smartphone, which is available in a wide range of vibrant colors and our smallest smartphone with an incredibly powerful experience packed into a very compact form factor. And finally, our brightest smartphone with a large clear black display and stainless steel finish. The feedback from reviewers and analysts on the Symbian Belle experience has been excellent. They have remarked that Belle is a huge step forward and represents Nokia’s most competitive Symbian experience to-date. During the course of Q3, we also completed the development of the Nokia N9, a bold all-screen phone, that’s incredibly fast and simple to use. It brings with it a breathtaking new industrial design and some real innovation around its swipe user interface. Early demand for the N9 in the days since it launched in certain target markets has been strong. For example in Russia, which is one of our largest markets, we had the highest pre-order number ever in the country and the first shipments at our flagship store in Moscow sold out during the opening sales event. We look forward to extending elements of the N9’s industrial design, user experience, and developments environment to various future Nokia products. I must also say that I am incredibly proud of and grateful to the Nokia teams that brought the N9 to market under what are obviously very difficult circumstances given our transition. Perseverance has long been a trait of Nokia and combined with loyalty and a passion for a products and consumers is a remarkable force. Looking ahead for our smart devices, the largest reason for marking this moment is a point of transition is the impending introduction of the first Nokia experience on Windows Phone that we expect in Q4. While the launch itself will be an important milestone, it is just one more step in our journey of transformation. We will be launching in select countries later this quarter and then we plan to systematically increase the number of countries, launch partners, and products during the course of 2012. To say that Nokians around the world are excited to share our work in the weeks ahead is to say the least, an understatement. As part of our transformation, we also continue to make necessary structural changes to our business, which are focused on putting us on course for long-term success. Timo will provide more information related to the financial implications of these changes, but I did want to share my perspective. At the highest level, we plan to make these structural changes to support the execution of our company strategy to achieve the Devices & Services savings target we announced earlier this year and to bring efficiency and speed to the organization. Earlier this year, we focused our restructuring work on primarily the R&D teams to ensure that we correctly allocated resources against the new strategy at appropriate cost levels. The progress we are making with our products is early evidence that we have addressed some of the previous challenges. Although, we still have work ahead of us. Thus in Q3, we announced that we are now accelerating structural change in other parts of the organization in order to ensure we are responsive to the changing dynamics in our industry. This included three things. First, we plan to adjust our manufacturing capacity and renew our manufacturing strategy to reflect our global networks of customers, partners, and suppliers have evolved including the closure of our facility includes Romania. Second in our location and commerce business, we plan to capture potential synergies and increased effectiveness through automation arising from consolidating location assets including NAVTEQ and Nokia’s social location services operations that was in Devices & Services. And finally, we plan to align our markets team and other supporting functions. For sales, this includes a move to simplify our model to now be based around four regions, 20 areas, and additional local offices, and serve individual countries or territories. Since we outlined our new strategy, we have announced the plan reduction of approximately 7,500 employees and the transfer of approximately 2,300 employees to Accenture. Changes of this size are never easy because of the personal impact on our employees, their families, and their communities. As we have done in the past, Nokia will ensure that we meet our social responsibility obligations in supporting our affected employees. So, in summary in Q3, we started to see signs of early progress in many areas. We made some difficult decisions, but we also celebrated some early moments of success. As we head into the fourth quarter, we are looking for to generating more success as a result of delivering against our new strategy. But more importantly, we are focused on providing continued calculated progress so that we can move Nokia through the transformation process and deliver superior results to our shareholders while we deliver great mobile devices to people all around the world. Thank you and now over to Timo.
Timo Ihamuotila – Chief Financial Officer: Okay. Thank you, Stephen. According to our preliminary estimate in terms of both unit volumes, the overall handset market in Q3 grew around 10% both year-over-year and sequentially. In Q3, our Devices & Services volumes declined 3% year-over-year, but grew 20% sequentially as we recovered after taking decisive actions in Q2 to correct our overall channel inventory situation. In Q3, we continue to improve our retails execution and we ended Q3 within our normal four to six week range. On a reported basis, Devices & Services net sales of €5.4 billion were down 1% sequentially and down 25% year-over-year. In Q3, Devices & Services net sales benefited from the recognition of approximately €70 million of non-recurring IPR royalty income, which was recognized in Devices & Services other net sales. In Q2, Devices & Services benefited by approximately €430 million of IPR royalty income from new contracts related to the second quarter 2011 and earlier periods. Thus, if you adjust for the royalty amounts I just mentioned, Devices & Services net sales actually grew 6% sequentially in the third quarter. Our Smart Devices net sales in Q3 continued to be impacted by highly competitive market dynamics. On sequential basis, Smart Devices net sales declined 7% as unit volumes were approximately flat, but ASPs declined. Smart Devices sales in Q3 were led by the Nokia 5230, the C5 family, N9 and C7 covering a broad price range from €75 to €230. Since the Q2 earnings call, we launched four new Symbian Belle devices, which have received very positive reviews. These Symbian Belle devices which are expected to ramp up in Q4 bring a meaningful improvement to the competitiveness of our overall Smart Devices portfolio. In Q3, our Mobile Phones net sales delivered a solid performance and we believe we took share from competitive offerings. On a sequential basis, net sales grew 14% a strong growth in unit volumes more than offset ASP declines. Mobile Phones sales in Q3 were led by the Nokia C3, C2, C1, 1616, and X1 covering a broad price range from €15 to €65. Our dual SIM portfolio expanded from one device that did 2.6 million units in Q2 to four devices that the total of 17.9 million units in Q3. It is important to note that the overall mobile phones portfolio delivered sequential growth in Q3 with non-dual SIM mobile phones volumes growing a solid 4%. For both Smart Devices and Mobile Phones in Q3, the impact of our pricing actions on ASPs was mainly driven by the larger pricing decisions that we made during Q2, which impacted Q2 ASPs partially and impacted Q3 ASPs for the full quarter. On an overall Devices & Services basis, the sequential decline in ASPs was primarily due to a product mix shift towards lower ISP devices as well as the lower IPR royalty income and price erosion I previously mentioned. Devices & Services non-IFRS gross margin in Q3 was 26.1%, down 500 basis points sequentially. The decrease was primarily driven by the lower IPR royalty income. The positive gross margin impact related to IPR royalty income previously mentioned was approximately 100 basis points in Q3 and 590 basis points in Q2. Thus adjusting for these IPR royalty items, Devices & Services non-IFRS gross margin was approximately flat sequentially. In Q3, we experienced sequential gross margin declines in both Smart Devices and Mobile Phones. The high level of competition in our industry puts pressure on gross margins making it important to capture the benefits of scale. In Q3, Devices & Services non-IFRS gross margin was negatively impacted by 20 basis points related to foreign currency hedging. At present time, we expect a 50 basis points positive impact to Q4 gross margins related to hedging activities assuming static foreign currency rates at the end of Q3 levels, but this could change due to intra-quarter fluctuations in trading rates. In Q3, Devices & Services non-IFRS OpEx was €1.2 billion, down approximately €140 million on sequential basis and down approximately 230 basis points as percentage of net sales. We will continue to manage our OpEx tightly with a focus on continuing to increase our R&D efficiency as well as the effectiveness of our marketing initiatives to support our Smart Devices and Mobile Phones net sales. Sequentially in Q4, we expect the seasonal increase in OpEx to be greater than normal mainly driven by launch of our new products with go-to-market activities and marketing campaigns. Devices & Services non-IFRS operating margin was 4.1% in Q3, down 260 basis points sequentially. The positive operating margin impact related to IPR royalty income previously mentioned was approximately 120 basis points in Q3 and 800 basis points in Q2. Thus on an adjusted basis, Devices & Services non-IFRS operating margin was 2.9% in Q3. And now a few comments and an update on our OpEx reduction plans. A quarter ago, we announced that we would accelerate our efforts and increase our Devices & Services non-IFRS operating expenses reduction target to more than €1 billion for the full year of 2013 compared to the full year 2010 Devices & Services non-IFRS operating expenses of €5.65 billion. The most significant restructuring actions relate to aligning our R&D operations to support our new strategy. In addition during Q3, we announced actions intended to drive capacity optimization and operational agility as Stephen explained. Also in Q3, we identified potential synergies that we intend to achieve by combining our location assets including NAVTEQ and the social location services operations from Devices & Services into a new location and commerce business. Location and commerce represents an attractive growth and differentiation opportunity and will benefit from reinvestment as new opportunities are identified. During the third quarter, Devices & Services recognized net charges of €89 million related to restructuring activities, which include restructuring charges, associated impairments, and an Accenture-related deal closing adjustment. As of the end of Q3, we have recognized cumulative charges of €661 million. While the total extent of the restructuring activities is still to be determined, we currently anticipate cumulative charges in Devices & Services of around €900 million before the end of 2012. We also believe total cash outflows related to our Devices & Services restructuring activities will be below the cumulative charges related to these restructuring activities. And then on to Nokia Siemens Networks and NAVTEQ. In Q3, NSN delivered another solid quarter. Reported net sales were €3.4 billion, a 6% sequential decrease reflecting typical seasonality as well as a full quarter’s contribution from the acquired Motorola Solutions’ networks assets. Excluding the acquired Motorola business, NSN’s net sales would have been down 12% sequentially, but up 3% year-over-year. Although NSN has diversified geographic and customer base over the last couple of years, NSN’s net sales were impacted in Q3 due to the current macro-uncertainty as some operator customers placed a greater focus on how they are spending. Global Services represented approximately 50% of NSN’s net sales during Q3. In mobile broadband, NSN continued to make good progress both in 3G and LTE. NSN now has 44 commercial LTE contracts. NSN’s non-IFRS gross margin in Q3 was 26.8%, up 20 basis points sequentially due to a greater focus on operational discipline, which offset an unfavorable sales mix towards Global Services. In Q3, NSN’s non-IFRS operating margin was 0.2%, down 90 basis points sequentially, reflecting the dollar net sales. NSN remains focused on driving further efficiencies while continuing to invest in its key strategic areas of mobile broadband and customer experience. During Q3, Nokia and Siemens each provided capital of €500 million to NSN to strengthen NSN’s financial position and set the stage for strategic flexibility, productivity, and innovation. The concurrent appointment of Jesper Ovesen as Executive Chairman is expected to help NSN strengthen its position as an industry leader and become a more independent entity. NSN’s contribution to Nokia cash flow from operations was slightly positive in Q3. At the end of the Q3, NSN’s contribution to Nokia’s gross cash was €1.7 billion and NSN’s contribution to Nokia’s net cash was negative €400 million. And then on NAVTEQ, reported net sales in Q3 were €241 million, down 2% sequentially and down 4% year-over-year. On a sequential basis, NAVTEQ’s decrease in reported net sales was primarily due to lower sales of map licenses to mobile device customers and typical seasonality in the vehicle segment partially offset by higher cell sales to PND customers. NAVTEQ’s non-IFRS gross margin was 86.3%, up 340 basis points sequentially primarily due to favorable revenue mix. NAVTEQ’s non-IFRS operating margin was 28.2%, up 670 basis points sequentially. And then turning back to Nokia as a whole, financial income and expenses was less negative on a sequential basis primarily due to specific exceptional hedging and investment gains recognized in Q3. On taxes, if Nokia’s estimated long-term tax rate of 26% had been applied non-IFRS, Nokia EPS would have been approximately €0.015 higher in Q3, 2011. And before I move on, I want to spend one minute on how I would encourage you to model taxes since this is driving some variation in cell site models. As expected, in Q3, our taxes was again negatively impacted by NSN as we are not currently recognizing tax benefits for NSN’s Finnish tax loses. We expect NSN taxes of approximately €50 million each quarter until NSN achieves a sufficient level of profitability at which point you can go back to using Nokia’s overall long-term tax rate of 26%. Until then, I would encourage you to model NSN taxes at €50 million per quarter and use 26% rate for the rest of Nokia ex-NSN. Then turning into the very important topic of cash, we ended the third quarter with a net cash balance of €5.1 billion. We have a clean balance sheet, conservative capital structure, and strong liquidity profile. Sequentially, net cash and other liquid assets increased by €1.2 billion primarily due to strong net cash from operating activities in Devices & Services, which were supported by positive net working capital improvement and net cash inflows from hedging activities. This was partially offset by capital expenditures. Net cash also benefited by a €500 million equity investment in Nokia Siemens Networks by Siemens. Our Devices & Services cash conversion cycle, which measures our working capital performance is back to a negative number of days. This was supported by a decrease in receivables due to a move in the geographic mix of our net sales back towards regions with shorter payment terms. And now turning to our guidance. In the press release, you will find the full details of our guidance, but I just wanted to highlight that we continue to operate with limited near-term visibility in our Devices & Services business. Although we have improved some of the fundamentals of our sales execution and our channel inventories are now at healthy levels, the business transformation we are in the midst of makes the top-line difficult to predict, particularly for our Smart Devices unit. However, we do expect Devices & Services net sales to be up sequentially in Q4 and we expect to end the year with a strong net cash position. Finally, some additional modeling considerations related to Q4. Beginning Q4, we planned to report results for our new location and commerce business as a new reportable segment taking the place of our NAVTEQ reportable segment. This involves regrouping some historical numbers, which we expect to provide you in advance of the Q4 earnings release. Also in Q4, we planned to stop chipping our first Nokia experience on Windows Phone. Thus from a balance sheet perspective, we expect to start receiving cash in Q4 related to quarterly platform support payments from Microsoft. From a P&L perspective in Q4, we will begin recording Windows Phone-related royalty expenses in our Smart Devices cost of goods sold. In Q4, we also will begin to recognizing a portion of the platform support payments as a benefit to our Smart Devices cost of goods sold. This has been factored into our Q4 guidance for Devices & Services. And with that, I will hand over to Matt for Q&A.
Matt Shimao – Head, Investor Relations: Thank you, Timo. For the Q&A session, please limit yourself to one question only. Operator, please go ahead.
Operator: (Operator Instructions) And the first question comes from the line of Kulbinder Garcha with Credit Suisse.
Kulbinder Garcha – Credit Suisse: Thanks. I have a question and clarification, Timo just clarification just what you mentioned there on the impact of the Windows agreement or the Microsoft agreement. So just to be clear is a positive impact in gross margin of Smart Devices for Windows, because Microsoft giving you some cash payments, but you stopped paying the license fee, what is the net of those two do you think in the fourth quarter? I am trying to understand whether that would (indiscernible) our gross margin and Smart Devices expand? And then the question really more fundamentally for Stephen is regarding Windows, you are talking about only launching this product in a few markets, and my question is I guess why, because if this is going to be a flagship product with other Windows going through it, why wouldn’t Nokia do the kind of global launches we’ve historically seen while you ramp it very successfully and very quickly. Is it because of the components, is it because concerns around the experience, is it because of carrier reluctance. What is the thinking, I guess behind that and how quickly could Nokia based upon your best estimation now ramp this Windows platform into the mass-market smartphones. Is that a still 12 to 18 month horizon do you think? Thanks.
Timo Ihamuotila: Okay, thanks. So, first on the Microsoft payment dynamics, so what I simply wanted to highlight to you is how the accounting here works from two perspectives. First, the Windows Phone related royalty expense is will be booked in our Smart Devices cost of goods sold and we will be recognizing a portion of the platform support payments has benefit to our Smart Devices cost of goods sold. And I wanted to highlight that the cash flow dynamics in this case can be different from the accounting dynamics, but we are not giving any exact number of gross margin guidance here regarding the Windows Phone margin. I mean we are not giving products specific margins regarding our guidance.
Stephen Elop: And regarding the ramp up plans, first of all we are very pleased with the degree of operators support with early signs of commitment in all of those other factors. It’s very positive. So, we are encouraged by that, but we are being very deliberate in the sequence in which we roll things out because it is a significant shift for the organization in how we stow, how we manufacture, all of those different elements. So, whether it is the need to introduce new language variance to establish marketplace capabilities in new countries to support Windows Phone, whether it is activating operator billing on and on and on is quite a long list of things we have to do to ensure we have robust launches in each country in which we operate. As well various countries have different requirements for different radio variance. Be it TD-SCDMA requirements in China, CDMA in China, of the US LTE initially in the US and elsewhere. So, there is quite range of things that we have to do to shift to a complete rollout. So, we are being very deliberate starting in certain markets, expanding again continuing to expand and really having a blossom through the course of 2012. Then I think the second part of your second question that you had there related to moving down the price bands and so forth and how we estimate that. First of all, we aren't providing specific timing guidance on that, but we should expect to see there is a repeatable pattern of cascading series of devices that increasingly expand the price bands. That’s about up and down and so there is an opportunity to do that over time. That also requires engineering work and planning and sequencing with the other products that we have moving very successfully in various markets because of course we are very thoughtful about, where and how we push launch Windows Phone relative to where Symbian is strong and so forth. So, we get the right balance in the right transition dynamics as we go through that process.
Matt Shimao: Thanks, Garcha. Operator, next question please.
Operator: Your next question comes from the line of Jeff Kvaal with Barclays.
Jeff Kvaal – Barclays: Yes, thank you very much gentlemen. I mean obviously giving your statement that OpEx is going to be up sequentially and that more constructors to be about plus or minus sign. It does seem there is some uptick associated with your mobile phones revenues in the fourth quarter. Would you mind helping us a little bit understand if I’m drawing that vision correctly and if so, what is that incremental OpEx going forward? Therefore Symbian Belle is that for Windows Phone how should we think about that?
Timo Ihamuotila: Well, maybe Timo here. So, basically first of all we are not giving guidance on gross margin and if you look at the gross margin dynamics of the two businesses, they were actually quite similar during Q3. So, I would not directly draw that conclusion. Then what comes to the OpEx so we expect a holiday season with launches of quite a few new products. I mean we have just started the launch and shipping of our announced smartphone. Clearly we are expecting to launch the first Nokia experience on Windows Phone and we expect a quite large bump on marketing activity related to those launches.
Stephen Elop: I think its also just to add to that to help you understand the quarterly dynamics of OpEx just reinforcing his point. There was some marketing activity, when we are estimating, when the various spends would land. There was some that we had thought would land in Q3 is actually landing in Q4. So, that artificially lowers Q3 a bit and artificially increases Q4, but just related to the timing of the discretionary marketing spend.
Matt Shimao:
Operator: Your next question comes from the line of Gareth Jenkins with UBS.
Gareth Jenkins – UBS: Thanks very much for taking my question. Just wanted one clarification on something mentioned earlier again, just so I am absolutely crystal clear with this Steve, 1% to 5% margin target for Devices & Services includes some inflow from Microsoft. Can you just tell us what the target would be excluding any extension inflow? And then I guess the more structural question, I just wonder if you could give us a sense on Nokia Siemens Networks and your ownership there and what sort of timetable and what milestones you’re looking at in terms of whether it’s a successful investment for you from this point? Thank you.
Timo Ihamuotila: Okay, thanks. First on the guidance on 1% to 5%, so we have built-in as I said, the dynamics of both the platform payment as well as our royalty payments to Microsoft. However, I want to highlight that we are not calling out any non-recurring IPR at this point regarding the guidance. And then what comes to NSN, so NSN is really focusing its strategy around mobile broadband and related services. On that business, it is really a long-term business where you absolutely have to demonstrate long-term innovation leadership towards the mobile operator customers. And we aim to really improve NSN’s performance long-term and when we do that that will also give us more options regarding moving NSN towards a more independent company.
Stephen Elop: Okay, if I may, I am just going to add on to that, I know there is questions about the Microsoft payments and how they balance and all that type of thing. Let me suggest this, certainly the way I think about this is by far the most significant things to consider as it relates to gross margin and ultimately operating margin are first, our ability to differentiate because through differentiation comes the opportunity to drive higher gross margins. Second, why by the approach that we take to how we price and in particular introduce the Windows home devices, I would point out that we believe it’s very important to establish the Windows Phone ecosystem to begin to build volume, to develop operating leverage from that volume and from that to drive overall scale efficiencies as we introduce these products. So that’s significant factor as we think about gross margin. And then third, of course is how we manage the cost of good sold, how about we do on driving cost savings into our manufacturing process, into the components and so forth. Those are the significant factors to consider as it relates to gross margin as we move through this transition.
Matt Shimao: Thanks Gareth. Operator next question please.
Operator: Your next question comes from the line of Tim Long with Bank of Montreal.
Tim Long – Bank of Montreal: Thank you. Just a two potter on pricing if I could kind of in this interim period before we get to the Windows Phone. How long do you think the tactical pricing moves are going to last? And second part, if I look particularly at this September quarter here, the pricing moves really worked a lot for volumes in mobile phones, but really hasn’t driven any volume up tick in this smart device business. So is it worth continuing the tactical price moves there when it’s not driving any volume, or how should we think about that? Thanks.
Stephen Elop: Thank you. First of all this significant tactical pricing moves that we made were principally in Q2 as we were essentially dealing with an innovatory situation, and also dealing with the fact that we had cap prices higher than we would have otherwise because of anticipated supply shortages arising out of the Japanese tsunami situation. So that was something that as we looked out we said, we need to make some moves during the course of Q2 and we did. What you see in the Q3 numbers of course is a full quarter’s impact of the moves that we made in Q2. So essentially our senses, not our sense, but the reality is in Q3, we were on a more traditional price to K curve across the Board as it related to our products. And so in terms of how we think going forward, anticipating traditional price to K curves and so forth is the way we are looking at it going forward. As it relates to Smart Devices, it may not have driven a significant up tick per say, but in terms of the trend and so forth we are quite pleased that from Q2 to Q3 we saw relative stability in the Symbian volumes. Now, I also want to just refer back to some comments that I made in my prepared remarks, as it relates to what we saw in India, because it’s an interesting phenomena. And that is, the reason I mentioned the Nokia 1616, it’s not our most strategic product out there on the market as you know and yet it was one of many examples were because of the increased interest in positive reviews about in general buzz on Nokia combined with the recency of strong brand and everything else, what we saw was a halo effect. And I cannot predict how that’s going to play out in other markets, in markets, where our brand is very strong or where it has recently been very strong. So, even although, we tend to focus on just the immediate numbers in a particular geography, there are geographies that have a very large population of dedicated Nokia consumers using large numbers of Nokia devices today. And so one of our elements of uncertainty is the degree to which this halo effect applies as we launch Windows Phone around our other products. I am going to give you the balancing side of it as well. That’s if you like a bit of a bold case. There is a also a bare case, which is as there is so much excitement around Windows Phone, does that have a negative impact on the attractiveness of the Symbian brand? And of course, all of these things will play out in different ways around the world and when we say we have limited near-term visibility, it’s principally because of factors like that, that it’s hard to call right now quite frankly.
Timo Ihamuotila: Maybe a quick addition here so, we are a company in transition and we are working with limited forward visibility as we said. We did not call the tactic pricing out this quarter totally in line with what Stephen said, but of course, markets – competitive nature in the markets can change and we have to have that tool in our toolbox as well.
Stephen Elop: Yeah.
Matt Shimao: Okay, Tim. Thanks for the question. Operator, next question please.
Operator: Your next question comes from the line of Tim Boddy with Goldman Sachs.
Tim Boddy – Goldman Sachs: Yeah, thanks. I had a clarification and a question, just to clarify we saw quite weak, I guess, you might call them product gross margins in the Smart Device and Mobile Phone businesses. Gross margins are down materially sequentially, but obviously we saw continued strength in revenue in the other part of the Devices & Services business. Can you clarify is that other revenue strength that’s kind of a typical IPR type of royalty stream or is there anything exceptional in that? I know you talked to this in your prepared remarks. I just I didn’t quite catch what’s kind of sustainable and what’s one-time? And then my question really is just around using the phrase delivering a Nokia experience on Windows Phone. What exactly does that mean and how will it help you differentiate? Thank you.
Timo Ihamuotila: Okay, so, Timo here. So, maybe I’ll start with the Devices & Services, other topic. So, first of all, as a remainder the Devices & Services other that we record the IPR income as well as Vertu and spare parts. And that element I mentioned last quarter we did see a slight increase in our recurring IPR income following the new contracts what we have announced earlier in the year. However, also this recurring IPR income is still somewhat lumpy and hard to predict. And in a mission this quarter, we actually saw also sequential increase in Vertu net sales.
Stephen Elop: And with respect to the Nokia experience on Windows Phone, clearly it is our intent to take advantage of Nokia strengths and assets as it relates to what we deliver from Nokia. So, as you see our first products launch, you will see the first signs of differentiation, the first signs of differentiation relative to Android and iPhone and also relative to other players within the Windows Phone ecosystem, although the former is more important than the lot to us in the near-term. Those forms of differentiation what you should expect to see is clearly we have strengths in design in hardware and mechanics in a variety of other things and we’re going to be quite proud to show our work in that area. But also we continue to build on the Windows Phone platform. It is a platform. So, you will see unique Nokia capabilities in the form of applications and services available from us. Now, this is important to note is our first entrée into the Windows Phone space. You will see our first signs of differentiation and our ability to differentiate clearly increases with time as we can more directly impact the software release cycles and so forth with our partners at Microsoft.
Matt Shimao: Thanks, Tim. Operator, next question please.
Tim Boddy – Goldman Sachs: Thank you.
Operator: Your next question comes from the line of Stuart Jeffrey with Nomura.
Stuart Jeffrey – Nomura: Hi, there, thank you very much. A question on the sort of mobile device business feature phone market, you’d spoken before about the Koreans, in particular, having had a big impact on the margin contraction there, we are seeing Samsung and LG and others starting to move away. So, I was wondering if you could perhaps refresh us on how you see the pricing environment margins have jumped up nicely to perhaps, but you might hope to see them longer term. So, should be – will it be expecting any significant changes in a profitability for Mobile Phones and just a quick update and how things have changed in the last couple of quarters? Thanks.
Timo Ihamuotila: Okay. So, regarding Mobile Phones margins, I presume that you refer to the approximately 10% operating margin in the Mobile Phones business. Now, we are not giving guidance by this segment. So in that sense I can talk generally about the market and the margin pressure that was discussed already earlier in the call. So, the margins have been impacted on MP by two items. First of all, on the dual SIM products, we actually are driving slightly higher than average margins simultaneously as Stephen said we had higher proportional so, over the lower end products like the 1660 and which impacts the margin negatively. And then in addition to that, we had the tactical pricing move mainly in Q2, which came into full force, now in Q3. So, that market continues to be competitive. It is clear that the competitive dynamics have somewhat changed, but assumption continues to be very formidable competitor on the Mobile Phones, feature phones space, and of course in addition to that, we have the various local competitors there.
Stephen Elop: And if I may just to add to that as you formed your question you used toward the feature phone market or the feature phone segment and so forth. And I want to just spend a second and comment on that to sort of our linear thinking on how we perceive this. The Mobile Phones business sometimes is characterized as a feature phone business things squeezed out by the smartphone business or a smarter phone business whatever the case maybe. And while it’s the case at today’s feature phones will be displaced by smarter and smarter devices over time. The market for those smarter devices at low price points continues to represent a robust business opportunity. So in the same way that today’s feature phones displaced yesterday’s feature phones. There is new products ahead from ourselves and I am sure from our competition that are going after that marketplace over time. So, we hear some commentary at time saying there is a market in contraction and so forth. But there is a lot of people with limited economic means who aspire to the same things as do we in terms of an experience. They may have less money, they maybe in an emerging market, but it’s a very good opportunity there for us that as we indicated on February 11 is an area of investment for us. The dual SIM products are good example of innovation that helps us to capture share and improve the situation in that market for us.
Matt Shimao: Thanks Stuart. Operator, next question please.
Operator: Your next question comes from the line of Mike Walkley with Canaccord Genuity.
Mike Walkley – Canaccord Genuity: Great, thank you very much. Congratulations on the strong operating cost management. I was hoping to understand better the sales and marketing mechanics longer term as you ramp Windows Phone and the support you received from Microsoft. So, I understand how the sales and marketing will up next quarter as you support new smartphone launches. But longer-term, how should we think about sales and marketing as a Windows also help support the ecosystem. Thank you.
Stephen Elop: Yeah. So, we can’t disclose specific details. But clearly Microsoft has an interest in supporting the Windows Phone ecosystem overall that will take many forms. Clearly, it will include both above and below the line marketing activities to support the ecosystem a very substantial effort as it relates to the developer ecosystem and encouraging the development of applications for Windows Phone. And also the moves they’re making more broadly as it relates to Windows 8 and taking the Windows Phone user experience to big windows where we will over time see that experience on hundreds of millions of PCs and Tablets that clearly accrues the overall power of the message the Microsoft will have in the marketplace that supports our efforts as it relates to Windows Phone. There are certain aspects of that that are done collectively for the ecosystem and some of that will be done specifically for our sales as a lead vendor, I’m sure for other vendors as well who are in the Windows Phone ecosystem.
Matt Shimao: Thanks Mike. Operator, next question please.
Operator: Your next question comes from the line of Alexander Peterc with Exane BNP Paribas.
Alexander Peterc – Exane BNP Paribas: Thanks for taking my question. Microsoft just announced that Qualcomm remained the sole supplier for Windows Phone chipsets, does that mean the Nokia will also follow this roadmap they also said they are working on lower cost solutions. How competitively you are seeing Nokia can be with the Windows Phone, particularly at $100 price points that the Android (indiscernible) ecosystem is attacking emerging markets as of 2012? Thanks.
Stephen Elop: So, first of all, we won’t make a specific comment on chipset selection and so forth. As we have said, our opportunity to differentiate in the Windows ecosystem is quite strong and we intend to take advantage of whatever opportunity to differentiate makes sense. The second question go ahead to repeat your second question please.
Alexandre Peterc – Exane BNP Paribas: Yeah. We essentially how you are going to tackle the price….
Stephen Elop: Yeah, I am sorry, thank you. And clearly one of our critical considerations before made decision to go in this direction was the ability to drive price points down to compete with the other ecosystems at all relevant price points. We have clear engineering line of sight to do that. We know how to do it. It’s part of the engineering plan to pursue it. We are not specifying timeframes for that, but it is very much part of the plans and something that will be forthcoming.
Matt Shimao: Thank you, Alexandre. Operator, next question please.
Operator: Your next question comes from the line of Mark Sue with RBC Capital Markets.
Mark Sue – RBC Capital Markets: Thank you. When we look at historical launches by Palm and others, there is usually a lot of commentary on differentiation and big operator system supports, but we also get limited sell-through what are consumers saying about Windows, so that we could kind of see some healthy sell-through. Do you think there is some pent-up demand and some open-mindedness from consumers from Windows? Do you think consumers will wait outside stores or do you think it will take a lot of stimulation to drive the Windows when it’s launched?
Stephen Elop: Well, a couple of things, first of all as it relates to how the most recent release of Windows Phone is being received, the so-called Mango release. What I focus on most deliberately is something called the NPS scores, the net promoter scores, where we do some very detailed research and indeed many of the operators have done the same research for validation as to how smartphone users who compare Windows Phone and the competing environments, essentially rate or would be willing to recommend Windows Phone to their friends and family. Those scores for Windows Phone are very high. And so fundamentally, we have a belief that if we can introduce them to that experience, help them understand it, and get them to taste it if you like, then we can be quite successful. As it relates to pent-up demand or how people perceive it, one of the things that I think is really important to note is that we are delivering the first Nokia experience on Windows Phone. And when you think about the brand equity and the demand and the interest and so forth, in some markets, it maybe a Microsoft brand, like Microsoft or Windows or what have you that has greater brand equity, but in many of the markets in which we are operating, the Nokia brand by any measurement is far more significant in terms of people’s smartphone purchasing decisions and that’s something clearly will be taking a great deal of advantage of as we go through our launch cycles.
Matt Shimao: Thanks Mark. Operator, next question please.
Operator: Our next question comes the line of (indiscernible) with Morgan Stanley.
Unidentified Analyst: Hello, yes, it’s (indiscernible). Thanks for taking my call. You’ve been mentioning big Windows and Windows 8, which is coming for tablets next year. I was wondering tablets are more like big smartphones, more than small PCs. And we see HP and maybe it could exit the PC manufacturing business. I mean, does it make sense and to me those makes sense that actually Nokia could be a big player in tablets with Windows 8 next year and basically feels the factors which might have been left empty in terms of smartphones as you’ve lost market share in the past year?
Stephen Elop: So, we have not announced any specific plans as it relates to tablets. It is the case that we recognize from an ecosystem perspective that there are benefits and synergies that exist between Windows, Windows Phone, ultimately other platforms as well, where people are looking for complete digital experiences across the smartphone to PC to tablet, the television set, the automobile and so forth. And without saying that we are doing a lot of those things, it is the case that we see that opportunity and is a major player in the smartphone space in and around the Windows Phone platform will certainly consider any of those opportunities as we go forward.
Matt Shimao: Thank you, (indiscernible). Operator, next question please.
Operator: Your next question is from the line of Ittai Kidron with Oppenheimer.
Ittai Kidron – Oppenheimer: Thanks and congratulations gentlemen on the good quarter. I had a couple of questions. First, Timo with regards to your market commentary you mentioned to the market group correct me if I am wrong 10% quarter-over-quarter, that’s fairly strong. Can you tell us any more insights into that and is it because of this strong growth do you expect also still normal seasonal fourth quarter or do you think part of that volume has not been moved into the third quarter? And the second relates to your performance in China and Asia-Pacific, clearly you’ve done very well over there, but can you give us a bit more color on how much of this progress was just pure underlying strong demand in that region versus real share gains there?
Timo Ihamuotila: Okay, so thanks. I will start with first of all these were volume market growth comments and if I recall correctly it was about 10% both sequentially and year-over-year. The value according to our estimate maybe slightly lower actually and it really is driven in this case by strong demand on, because this is volume mainly on the developing markets in places like Asia. Regarding the Q4 seasonality, the only thing we are saying here that we expect our top-line to be seasonally higher going into Q4, but we are not making any comment on the market at the moment and I must admit that visibility is limited as we have said.
Matt Shimao: Thanks Ittai. Operator, next question please.
Operator: Your next question comes from the line of Zahid Hussein with Citi.
Zahid Hussein – Citi: Hi guys, thanks very much. Just really loss on gross margin for me, in terms of Windows Phone devices, that are coming out, particularly the first couple that you plan to launch. Can you just confirm whether gross margins would be higher in current smartphone or actually be lower given all the puts and takes on OS payments as well as capital fees on Microsoft. And second, in terms of ASP, your current smartphone ASP obviously 130 we expect Windows Phone devices will be obviously a lot higher. Can you give us a kind of range of what we should be thinking about for that? Thanks.
Timo Ihamuotila: Okay, so Timo here. So, the ASP expansion as you currently point out is an easier equation and there given the low ASP at the moment in our smartphone business, we would expect somewhat higher ASP into the portfolio from the new Nokia smartphones and Windows Phone. Then what comes to gross margin, so we have also said that we will price these products in a way that we support the ecosystem getting into the (volume) and that is what we will do so. It will be a dynamic equation, where we will need to balance the consumer interest and appeal vis-à-vis getting the ecosystem into the volume.
Matt Shimao: Thanks Zahid. Operator next question please.
Operator: Your next question comes from the line of Richard Kramer with Arete Research.
Richard Kramer – Arete Research: Thanks very much. I’d like to ask a slightly longer term question about the 10% margin target. Right now, if you look at your OpEx run-rate, it’s fairly close to the $1 billion reduction on the $5.65 billion starting point and yet the margins are just 2% excluding IPR. Maybe Timo or Stephen, if you could talk a little longer term about what bridges the gap to a 10% operating margin. Is it going to be substantially higher sales? Could it be substantially lower operating cost than the $1 billion target that you’ve given us? Just trying to understand the dynamics around that and then I guess the other question is given the fairly low and long persistent low margins at NSN, should we expect substantially more restructuring to come at NSN, now that you have new management taking range and you’ve recapitalized the business. Thanks.
Timo Ihamuotila: Okay. So first on the 10% margin target, so there are I would say, too longer main drivers we need to work on. First one is the operating leverage and it needs to be a combination of both the growth equi side of the equation as well as the cost side of the equation. And again here, I would use the words, this is a dynamic equation that’s partly the reason why we said actually that the OpEx reduction target for the company is more than $1 billion. And then longer term of course we are working very hard to differentiate our offering drive innovation through that mechanism and also there longer term look to bring to the market products, which can allow for gross margin expansion.
Stephen Elop: Regarding NSN, I will just comment on the hiring of Jesper Ovesen. We specifically selected him because he has some very good track record on taking companies through the necessary changes, for example most recently the effort he undertook to take a company through the privatization and then getting it back over the market in a very successful way. In that case, we required additional restructuring, we’re not forecasting what’s required specifically at NSN, but we’re certainly glad we brought someone on with his skills to make sure we are considering all options and all approaches to that. And again here, I think it’s important to add that business of innovation is really the NSN business is really driven by investment into innovation in the core R&D in mobile networks and/or mobile broadband and in related managed services. And any action we would take here needs to be in line in supporting NSN becoming a real global real leader on this area, where it partly already is.
Matt Shimao: Thanks Richard. Operator, we will now take our last question.
Operator: Today’s final question will come from the line of Kai Korschelt with Deutsche Bank.
Kai Korschelt – Deutsche Bank: Yes, thank you for taking my question. My first just on the low end the sequential unit growth, I think where north of 15 million if we go back to the second quarter I think were down 12 million and there was obviously a lot of de-stocking and potentially restocking going on. Would be possible to maybe just breakout the level of element of inventory change rather than real end demand than your products? And my other question was just on NSN, just a quick question on the Q4 revenue guidance. It looks slightly below typical seasonality, just wondering if there is any reason for that if already seeing any macro weakness affecting the spending behavior of the carriers. Thank you.
Timo Ihamuotila: Okay, thanks. Timo here. So, first on the inventory dynamics what you asked about maybe I can give some color on that in a way that we actually indeed, if you got inventory correction and what we said regarding that was that basically we had a general inventory, which was slightly above our normal four to six weeks range and then last quarter we said we had brought it into approximately nil and that’s about one week of inventory. And then if you work that through the numbers and say approximately 100 million units you will come to unit number of some 7 million or something. So, that would be I would say reasonable approximation give and take some units. And then on NSN guidance regarding Q4 so, yes we have to take into account the current economic environment, where we operate in and that is partly factored into the guidance simultaneously also noting that NSN has had some very strong growth in some other areas outside Europe and US like Asia Pacific and in particularly Japan.
Matt Shimao: For some closing remarks, I will turn the call back over to Stephen.
Stephen Elop – President and Chief Executive Officer : Very good. Thank you everybody and thank you for the good questions today. Just in closing, again I want to reiterate that we are pleased with Nokia’s results this quarter, but we are on a journey. We have to continue to execute well one step-at-a-time in the implementation of our new strategy, one country, one carrier, one radio technology at a time. We got to work through that, so that we can bring great mobile products to people all around the world. Next week we have Nokia World. I think its going to be pretty exciting. I know for everyone at Nokia its going to be very proud moment. So, we look forward to seeing as many of you as we can at that event. Thank you for your attention and support.
Matt Shimao – Head, Investor Relations: Ladies and gentlemen this concludes our conference call. I would like to remind you that during the conference call today, we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general, economic, and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 12 through 39 in our 2010 20-F and in our press release issued today. Thank you.
Operator: Ladies and gentlemen this does conclude the Nokia third quarter 2011 earnings conference call. You may now disconnect.